Operator: Good morning. My name is Anna, and I will be your conference operator. [Operator Instructions] This is FHipo's Third Quarter 2025 Conference Call. There will be a question-and-answer session after the speaker's opening remarks, and instructions will be given at that time. FHipo released its earnings report [indiscernible] October 24, after the market closed. If you did not receive the report, please contact FHipo's IR department [indiscernible]. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made in this conference call are based on information that is currently available. Please refer to the disclaimer in the earnings release for guidance on this matter. We are joined by Daniel Braatz, Chief Executive Officer; Ignacio Gutiérrez, Chief Financial Officer; and Jesús Gómez, Chief Operating Officer. I would now like to turn the call over to Daniel Braatz. Daniel, please go ahead.
Daniel Michael Zamudio: Good morning, everyone, and thank you for joining us today. Let me walk you through our third quarter 2025 results. Throughout 2025, we have remained focused on strengthening our platform, prioritizing high-quality yielding assets and maintaining a resilient, efficient and forward-looking investment strategy. The disciplined execution of this strategy supported by a solid capital structure positions us to continue adapting to a changing environment while pursuing sustainable growth. In the third Q, we reaffirmed our commitment to delivering profitability to our investors. Historically, as of the end of this quarter, we have distributed over MXN 7.2 billion to our investors, reinforcing our focus on sustained value creation. Our strong capitalization profile remains a pillar of FHipo's financial strength. In the third Q, we maintained a 59.7% capitalization ratio and a 0.65x debt-to-equity ratio. Our disciplined deleveraging strategy has strengthened the balance sheet and positioned us to capitalize on future growth opportunities. Our financial margin stood at 56.8% of total interest income, once again reflecting our stable profitability and operating discipline. Among the quarter's highlights, we closed at MXN 1 billion of financing between a renewal of our $500 million credit facility with Banco Ve por Más and signed a new facility with Banco Santander for the same amount further strengthening our financial flexibility and confirming the market's confidence in our business model. Furthermore, on September 22, the full early amortization of CDVITOT 15U and CDVITOT 15-2U trust certificates took place, resulting in a nonrecurring effect on quarterly results, in line with our objective of continuing the reduction of exposure to VSM-denominated loan portfolio. If we move on to Slide 5, we highlight our consistent track record of delivering value to our investors through stable distributions. For the third quarter, our annualized yield per CBFI stands at 11.5% based on an estimated quarterly distribution of MXN 0.35 per CBFI, subject to our current distribution policy. As I mentioned before, since FHipo was created, we have distributed approximately over MXN 7.2 billion to our investors, equivalent to MXN 19.32 per CBFI. These results underscore our strategic direction centered on creating long-term value and maintaining a focused approach for our investors. Moving to Slide 6. As of the third Q, our debt-to-equity ratio considering both on-balance and off-balance financings was 1.38x highlighting the fact that during the period of the third Q 2019 to third Q of 2025, we achieved a deleveraging of 0.9x in our total on and off balance debt. Over this period, we remain disciplined in maintaining a solid and resilient balance sheet, which positions us to capture future opportunities aligned with our long-term objectives. At the same time, our financial margin reached 56.8% for the quarter, representing a 5% points improvement year-over-year. This reflects the continued efficiency and reinforces our commitment to operating with discipline, focus and a sound financial structure. On Slide 7, we highlight our continued emphasis on higher yielding assets. As of the third quarter of 2025, originations through digital mortgage platforms accounted for 19.7% of the total portfolio. Up to 8.6% in the third Q 2023, reflecting a 2-year CAGR of 38.4%. Our portfolio has a strong asset quality profile with an average loan-to-value of 77% at origination and an estimated loan-to-value of 29% based on current market value of housing. Moving on to Slide 8, on the third Q, our nonperforming loan ratio calculated for the accumulated balances of the total portfolio at origination stood at 3.04%. Overall, our portfolio continues to reflect prudent levels of nonperforming loans, which remains consistent with the nature of the maturity profile of our assets. Finally, on Slide 9, FHipo affirms it commitment to sustainability and ESG best practices. We aim to generate long-term positive impact beyond financial returns. We have financed over 100,000 loans with 55% going to low-income households. Women represent 31% of our total portfolio and 35% of our digital mortgage platforms, while 39% of our workers are women. On governance, our Nomination, Audit and Best practices committees are fully independent and more than half of our technical committee members are independent as well. On the environmental side, about 70% of Infonavit borrowers have taken the green mortgage program benefit. And internally, we have implemented initiatives to reduce paper, plastic and water use. These actions reflect FHipo's ongoing commitment to incorporating strong ESG principles into our business model and decision-making process. Now I will turn the call over to our CFO, Ignacio Gutiérrez, who will discuss the leverage strategy.
Ignacio Gutiérrez Sainz: Thank you, Daniel, and again, good morning, everyone. I'll first walk you through our different funding sources on Slide 11. FHipo has continued to strengthen its balance sheet. As of the third quarter of 2025, our total debt-to-equity ratio, including both on and off balance sheet financing stood at 1.38x, down from 2.3x in the third quarter of 2019 reflecting a deleveraging of 0.9x over that period. On a stand-alone basis, our on-balance sheet leverage ratio was of 0.65x. This financial discipline has improved our flexibility and reinforced our capacity to negative changing market environments. Our funding structure remains diversified and robust, allowing us to efficiently manage liquidity to support future growth opportunities. If we turn to Slide 12, as shown in the breakdown of our consolidated funding as of the third quarter of 2025, more than 70% of our financing has legal maturities exceeding 20 years. This profile provides us with a comfortable long-term debt structure aligned with the nature of our assets. In addition, our financing costs remain at current and competitive levels, supporting the sustainability of our capital structure over time. Now I'll turn the call over to our COO, Jesús Gómez, who will go through the portfolio breakdown before I discuss our financials.
José de Jesús Gómez Dorantes: Thank you, Ignacio. Good morning, everyone. Thank you for joining us today. Let's move to Slide 14 to take a close look at the breakdown of our mortgage portfolio as of the end of the third quarter of 2025. FHipo's consolidated portfolio comprised 47,543 loans as of September 30, 2025, with an outstanding balance of MXN 17.8 billion, an average loan-to-value at origination of 77% and a payment-to-income ratio of 24.4%, at the end of the quarter 92.4% of the portfolio remain performing. Our portfolio remains diversified across several origination programs, including Infonavit Total, Infonavit Más Crédito, FOVISSSTE and the digital mortgage platforms, which now represents nearly 20% of the consolidated portfolio. Moving on to Slide 15. FHipo's portfolio remains geographically diversified across all 32 Mexican states. Nuevo León, Estado de México and Jalisco are still the largest contributors together accounting for approximately 29% of the total portfolio balance. In terms of our partnership originations programs, here's the breakdown of the portfolio. First, Infonavit Más Crédito accounts for 49.9% of our total portfolio equivalent to MXN 8.9 billion. The digital mortgage platform portfolio accounted for 19% of the portfolio equivalent to MXN 3.5 billion. The Infonavit Total Pesos program represented 14% of the total portfolio equivalent to MXN 2.5 billion. Fovissste portfolio accounted for 11.8% of the total portfolio equivalent to MXN 2.1 billion. And finally, Infonavit Total (VSM) program reached 4.6% equivalent to MXN 800 million. The distribution reflects our strategy to prioritize origination programs that offer strong risk-adjusted returns while maintaining a diversified portfolio aligned with market demand. I will now turn back the call to our CFO, Ignacio Gutiérrez, to discuss FHipo's financial results for the third quarter of 2025.
Ignacio Gutiérrez Sainz: Thank you Jesús. On Slide 17, we will discuss our NPL and provision coverage levels. Our consolidated nonperforming loan ratio stood at 7.6% as of the end of the quarter. As of the end of this quarter, we continue to maintain a solid reserve and loan loss allowance policy with an expected loss coverage of 1.43x against NPL and against expected loss and NPL coverage of 0.58x. If we move to Slide 19, and here, we will go through our financial results for the quarter. Total interest income for the third quarter of 2025 was of MXN 318 million, showing a decrease compared to the $332 million reported in the third quarter of 2024. This decrease is primarily attributed to the natural amortization of the portfolio, which was partially offset by the growth of the mortgage portfolio originated through the general mortgage platforms. The interest expense totaled MXN 137 million, representing a 14.2% decrease compared to the MXN 160 million reported in the third quarter of 2024, mainly though to the declining interest rates over the past 12 months. Our financial margin was of MXN 180 million, representing a 56.8% of the total interest income an increase of 5 percentage points compared to 51.8% in the third quarter of 2024. The allowance for loan losses recorded for the third quarter of 2025 was of MXN 65.2 million and the valuation of receivable benefits from securitization transactions showed a net decrease of MXN 115 million in fair value during this quarter. This result is mainly explained, as Daniel mentioned, to nonrecurring events such as the net effect derived from the total early amortization of the CDVITOT 15U trust certificates carried out in September 2025 and the consideration of observable factors related to the cleanup call of upcoming securitizations with similar portfolios. In addition to the amortization pace of the loan portfolio underlying the trust certificates given that these securitization structures are close-ended by nature and to the performance of the portfolio in collateral of such trust certificates during the quarter. Total expenses for the quarter totaled MXN 96.4 million, a decrease of 20% with respect to the same period of 2024. And considering these FHipo registered a result of minus MXN 98 million during the quarter. The estimated distribution for the third quarter of 2025, subject to the current distribution policy is of $0.356 per CBFI and which considering the price of the CBFI as of the end of the third quarter of 2025 results in an annualized dividend yield of 11.5%. With this, I will now hand the call back to our CEO, Daniel Braatz, for some closing remarks before we move to the Q&A section.
Daniel Michael Zamudio: Thank you, Ignacio. As for the third Q of 2025, we have continued to strengthen FHipo's financial profile, maintaining a disciplined management approach, a healthy balance sheet and a solid capitalization. Our capital structure remains prudent, allowing us to preserve financial flexibility and continue distributing attractive yields to our investors. Looking ahead, our focus remains on prudent risk management and identifying new opportunities aligned with our long-term strategic objectives. At the same time, we continue to prioritize long-term profitability and the ongoing enhancement of our portfolio's quality. The initiatives we have implemented throughout the year have further reinforced our foundation to capture future opportunities and create sustainable value over time. We will keep advancing our ESG agenda and contributing to long-term value creation for all stakeholders, including the communities we serve. Thank you for your continued trust. I'll now hand the call back to the operator to open the Q&A session. Thank you for your continued trust. I'll now hand the call.
Operator: [Operator Instructions] We would like to take this moment to thank you for joining FHipo's Third Quarter 2025 Results Conference Call. We have not received any questions at this point. So that concludes our question-and-answer session. Thank you. I would now like to hand the call back over to Daniel Braatz for some closing remarks.
Daniel Michael Zamudio: Thank you all for joining us today. Please don't hesitate to reach out to us if you have any more questions or concerns. We appreciate your interest in the company and look forward to speaking with you soon.
Operator: That concludes today's call. You may now disconnect.